James Hnat: Thank you operator and hello everyone. By now everyone should have access to our Fourth Quarter and Year End 2021 Earnings Release, which is available on the investors section of the investor website at www.inspirato.com. Before we begin our formal remarks, we need to remind everyone that some of the management’s comments today will be forward-looking statements within the meaning of federal securities law, including, but not limited to those regarding our expectations relating to future operating results and financial position, guidance and growth prospects, our anticipated future expenses and investments, our business strategy and plans and our market growth, market position and potential market opportunities. These statements are based on assumptions and beliefs and we assume no obligation to update them. Actual results could differ materially from those indicated by these forward-looking statements. We refer you to our SEC filings for a more detailed discussion of the risks that could impact future operating results and financial condition. In addition, during the call management will also discuss non-GAAP measures, which we believe can be useful in evaluating the company’s operating performance. These measures should not be considered in isolation or as a substitute for our finance results prepared in accordance with GAAP. Reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release, which is available on the Investor Relations section of our website and which was furnished with our form 8-K today with the SEC. Hosting the call today, we have our Co-Founder and CEO, Brent Handler; and Chief Financial Officer, Web Neighbor. They will provide some opening remarks and then we will open the call to questions. With that I’ll turn the call over to Brent.
Brent Handler: Thank you, James, and good afternoon everyone. Welcome to the Inspirato fourth quarter and year end 2021 earnings call, the first after closing our business combination. I’d like to start by welcoming our newest shareholders and thanking our entire Inspirato team for their efforts over the past year to help us get to this point. This is an important milestone in the history of Inspirato and it positions us for future growth in the years ahead. I also would like to take this opportunity to thank our nearly 14,000 loyal subscribers, who entrust us with their most valuable resource, quality experiences with family and friends. Before we go into our financial results, I would like to quickly talk about the history of our brand and where we stand today. My brother, Brad, and I originally entered into the luxury travel market back in 2002 with a capital intensive model that required a significant upfront fee and used the money to purchase real estate. We evolved that model in 2011, when we launched Inspirato a scalable, asset lite subscription travel platform. We have been serving affluent travelers now for 20 years and are constantly innovating to provide the best value and experience to the luxury consumer. Today, the Inspirato platform is comprised of two core subscription products. The first is in Inspirato Club, the initial product we launched in 2011. Currently new club subscribers pay $600 per month for access to an exclusive portfolio of branded luxury vacation homes, five-star hotels and resort partners, and custom travel experiences in hundreds of destinations around the world. In addition to their monthly subscription, subscribers pay nightly rates to book the trips of their choice. Our club subscribers travel with Inspirato because of the luxury, service, certainty and value that we provide. Our second product is Inspirato Pass, which we launched in the summer of 2019. Inspirato Pass is the first ever luxury travel subscription, inclusive of nightly rates, taxes and fees with Pass subscribers, pay $2,500 per month and choose from a list of typically more than 1.5 million trips ranging from luxury homes and hotels to unique travel experiences around the world. A proprietary patented algorithm determines how subscribers use their pass to book and enjoy travel. Our subscribers realize substantial value from this product, and we believe it represents a significant opportunity that we can continue to grow as consumers further appreciate its many benefits. One of the differentiating aspects of our model versus traditional hospitality is that we have greater loyalty within our customer base. In fact, while hotel companies pay millions of dollars to incentivize their customers to travel with them, the reverse is true with Inspirato. Our subscribers pay us for the ability of being able to travel within our exclusive platform. Additionally, the Inspirato demographic is highly coveted consisting of affluent travelers who want to spend more and better time with family and friends. Moving on to the current state of our business, let’s start with some recent highlights. Specifically on February 11, 2022, we’ve closed our business combination. And on February 14, 2022, Inspirato’s Class A common stock and warrants commenced trading on Nasdaq under the ticker symbols “ISPO” and “ISPOW,” respectively. Pro-forma following the closing of the transaction, Inspirato had approximately $140 million of cash on its balance sheet, including approximately $88 million in gross proceeds from a PIPE led by Janus Henderson. In 2021, we expanded our business on both the supply side and the demand side. On the supply side, in response to luxury consumer preferences for curated private accommodations. We increased total controlled accommodations to 538, a 36% year-over-year increase. On the demand side, we grew active subscriptions to 14,875 and 18% year-over-year increase and past subscriptions to 2,987, a 67% year-over-year increase. As a result in 2021, we delivered record revenue of $235 million, $13 million ahead of our initial forecast. In September 2021, we launched in Inspirato Real Estate, our owner leaseback platform that greatly enhances our supply pipeline and expands the selection of residences offered to our subscribers. In October 2021, we released an updated 2.0 version of our innovative past product, which allows for greater trip planning, flexibility, and value for our subscribers. With this release, our past trip list grew from around 150,000 trips to over 1.5 million trips. As we look ahead, we believe there is a lot of room to grow and further improve the luxury travel experience for our subscribers. With that as context, let me touch on our recent financial performance, key business metrics and other operating metrics. We ended the year with a record fourth quarter with revenues of $68 million, up 71% year-over-year, a GAAP net loss of $9 million and adjusted EBITDA loss of $6 million. For the full year 2021, revenues were $235 million, up 42% year-over-year. Net loss was $22 million and adjusted EBITDA was a loss of $16 million. Annual recurring revenue from our subscriptions grew to $135 million, an increase of 48% year-over-year and it’s very encouraging to see that our innovative subscription model is scaling as we expected. In a year with varying degrees of travel restrictions in different parts of the U.S. and the world, our unique offering was compelling enough to both retain our subscriber base and attract new affluent travelers. In fact, the travel restrictions elevated the importance of avoiding vacation roulette that high net worth travelers often face with online vacation rental sites. The service uncertainty, our subscribers get with Inspirato gives them the comfort they need to experience the world with family and friends, even during otherwise challenging and uncertain times. On the supply side, during 2021, we added 141 controlled accommodations including new residences, hotel penthouses, suites and rooms up 36% year-over-year. An important and growing component of our supply acquisition strategy is working directly with premium hospitality brands, national resort developers and institutional owners of high quality vacational rental product. We have made significant investments over the past year in building our team in infrastructure to execute on these larger more complex transactions. We now have an active pipeline of large strategic leads acquisition opportunities that will give us additional operating scale in some of our core markets and will expand our footprint into new markets that include some of the most iconic vacation destinations in the world. If consummated, these transactions represent large components of the overall supply growth we have previously forecasted. We look forward to updating you as we execute these transactions and have more details to share. As we look ahead, we continue to focus on growth and innovation. First and foremost, we are committed to delivering best-in-class service uncertainty to our subscribers. Second, we are accelerating our investment into the expansion of our portfolio. Third, we continue to innovate and evolve the past product, which could include offerings such as sports and entertainment events, and perhaps in the future, further segmentation, such as new price points. And lastly, we see opportunity within adjacent subscription offerings such as corporate incentive travel bespoke and adventure travel, private clubs and air travel. Corporate incentive travel in particular represents an attractive growth avenue for us. In 2021, we received an unsolicited inquiry from a large global software company about providing reward travel for their sales force. This ultimately manifest into a multimillion dollar bespoke program fully paid up front by our client. Our early success in this area catalyzed our innovation and product development teams who are in our actively exploring how to capitalize on the large and growing corporate incentive travel market. I’ll now turn the call over to Web to provide more specifics on the financials.
Web Neighbor: Thank you, Brent. As Brent mentioned, we reported a record $68 million of revenue during the fourth quarter of 2021, up 71% from the same quarter last year. For the full year in December 31, 2021 revenue was $235 million versus $166 million in the prior year. Annual recurring at year end was $135 million, up 49%, compared to year end 2020 and up 25% compared to the prior high watermark in early 2020. For the fourth quarter, we had a net loss of $9 million and an adjusted EBITDA loss of $6 million. For the full year, we recorded a net loss of $22 million and an adjusted EBITDA loss of $16 million, which compares to a net loss of $1 million and adjusted EBITDA of $8 million during the prior year. We made and are continuing to make significant investments in sales and marketing, operations, corporate infrastructure and our real estate footprint as the pandemic eases and as we respond to strength and demand trends and resume our growth trajectory. Looking at the fourth quarter’s key operating metrics, on the subscription side, the end of the year with 13,802 active subscribers and 14,875 active subscriptions. This represents year-over-year increases of 18% for both subscribers and subscriptions. As a reminder, the difference between these two numbers is that there is a subset of our active subscribers who have more than one active subscription, selling multiple subscriptions and upgrading existing members to higher revenue subscriptions is an active part of our full customer life cycle approach to subscriber sales. Strong travel demand resulted in record 95,994 nights delivered in 2021. One driver of this increase was increased occupancy with our occupancy rate for the fourth quarter of 84% compared to 78% in the year ago period, and an average of 88% for the full year 2021 compared to 71% in 2020. This clearly demonstrates the demand we have within our subscriber base and is one of the reasons we are aggressively building out our supply. We ended the year with 538 total controlled accommodations up 36% from 2020. We continue to grow our inventory through both our traditional retail and newer institutional channels. We’re committed to developing and maintaining a balance, beneficial lease economics, structural flexibility and optionality and strategic commitments end markets, where we can math significant scale and operating leverage. Turning to the balance sheet. Our liquidity picture has never been strong. Our resilient subscription revenue and flexible cost structure are two of the reasons that we have accrued significant amounts of cash over the past two fiscal years. At the end of 2019, we have approximately $40 million of cash on our balance sheet, at the end of 2020, that had increased almost $70 million. And at the end of 2021, we had approximately $80 million. I’d remind everyone that we have a capital light business model and are focused on preserving capital and maintaining judicious spend and investment criteria as evidenced by our year-end cash balance as compared to the approximately $85 million of total equity we had raised as a private company over more than 10 years of operations before our recent transaction. After the closing of the business combination, we have approximately $140 million of cash on a pro forma basis. As mentioned throughout the DFA process these net proceeds will enable us to accelerate growth that are not required for us to hit our previous growth targets for 2022 and beyond. Turning to guidance. With this being our first earnings call post-business combination, we’re establishing our guidance approach. We plan to provide a range of expected annual revenue and adjusted EBITDA and update each quarter. We expect to initiate guidance for any given year when we report the fourth quarter and year end results of the prior year. We currently expect 2022 full year revenue to range between $350 million and $360 million representing year-over-year growth of 49% and 53% respectively. We expect adjusted EBITDA to be in the range of negative $15 million to $25 million. Our guidance reflects the strong demand trends driving both subscription acquisition and travel spend, continued rapid growth over inventory and near-term investments targeted at harnessing and amplifying these growth drivers. With that, I’ll pass it back to Brent for some closing remarks.
Brent Handler: Thank you, Web. Before we close our prepared remarks and open the call for questions, I’d like to reiterate some key points. First, we are excited to have completed our business combination and trade under the Nasdaq ticker ISPO. Second, we feel great about our positioning within the luxury travel market and specifically the opportunity to capitalize on the trends around consumer subscriptions. Third, we have a number of exciting avenues for growth, both within our existing offerings and through expansion into adjacent subscription categories. Lastly, I want to thank our over 800 dedicated Inspirato team members for their relentless commitment to delivering best-in-class experiences to our nearly 14,000 subscribers. Again, welcome to our newest shareholders and thank you all for joining today. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question will come from line of Mike Grondahl from Northland Securities. You may begin.
Mike Grondahl: Hey, Brent and Web congrats on all the progress in 2021. First question is just your active subscribers were nicely ahead of your guidance, about 500 incremental subscribers. What would you kind of attribute that out performance to?
Web Neighbor: Mike it’s, Web, I’ll take that. We were really pleased in that performance. And I think as you saw the quarters that we disclosed throughout the year, that trend accelerating. So at the beginning of the year, one year ago, the environment in various parts of the country in the world was still challenged due to the effects of the pandemic and that eased that the year went on, we frankly, had a significant amount of inbound demand for those subscriptions and we ramped up fairly aggressively sales and marketing spend to meet that demand. And you saw that grow and accumulate throughout the year, ultimately resulting, Mike you said, approximately 500 more subs than we had previously forecast for the year.
Mike Grondahl: Got it. Got it. And then just in your controlled accommodations, primarily the residences, how does sort of the – you talked about growing that aggressively. It grew 36% in 2021. What does that backlog look like that pipeline, and maybe any comments on Inspirato real estate way that channel too?
Web Neighbor: Sure. We’ve been really pleased that our ability to grow and deliver on the pipeline to date. I would say that is still a nascent operation. It’s just with been within the last year that we have started to invest in and build a whole new level of infrastructure around the people, the process and the systems to grow that inventory. So, we’ve seen great returns as you point out. We were very happy with more than 35% growth for the year. We are building a robust pipeline behind that Brent referred to in his comments, a few larger institutional opportunities that we have actively been working on. So, we don’t have anything to announce yet on that front, but we have reason to believe that that growth in the pipeline you have seen, will continue to accelerate.
Mike Grondahl: Yes, got it.
Brent Handler: This is Brent. One quick thought on that, to our members today, to all of our subscribers, we launched the most requested destination that I can remember in the 20 years of being in this business, we launched the Hamptons today with releasing 14 new residences, and that’s an example of a large developer, a strategic relationship. It’s a opportunity to be part of a five star luxury hotel that is going to be able to service and partner with us for really the largest demographic that we serve the tri-state area. So that’s kind of the, the first of what Web was talking about, which are these larger, more strategic, very important deals from – as they go from a pipeline to reality with one of those happening today.
Mike Grondahl: Great. I got that email early this morning. It was nice to see. And then maybe lastly, anything to call out on some of the other growth avenues sort of tickets and suites are beyond travel, you mentioned sort of the bespoke stuff, anything else to call out there?
Brent Handler: I think the one that is the most obvious to call out that we referenced a little bit earlier was around this corporate incentive travel market. I think if you really look at hospitality overall, one of the reasons Inspirato has been able to do so well during the pandemic is we have the good fortune of tailwinds for both private accommodations with service and certainty. So that was a, a big winner during the pandemic. And also, really it being focused on the transient, the transient user, the non-corporate user but most businesses that are in hospitality have some reliance on corporate in some way or another, and some reliance on the more the more vacation oriented.  And so what we’re looking at is an opportunity to take our portfolio and get better utilization and yield out of it by really focusing on this incentive and kind of corporate reward market that we think is very big. We think we have a really differentiated opportunity in that space. So I think from a growth perspective, it would not be unrealistic to think that we had some very good success with this large software company that we mentioned earlier. And just thinking that we might be putting some investment there and thinking through how we would be able to attack that market in the coming quarters.
Mike Grondahl: Great. Thanks a lot guys.
Operator: [Operator Instructions] Our next question will come from line of Tom Champion from Piper Sandler. You may begin
Tom Champion: Good afternoon, guys. Thanks for taking the questions. Web, maybe to begin with you the 2022 guidance $350 million to $360 million, that looks just a little below the prior expectation expressed in the deck and in the materials, just curious if you could walk us through the change there? And then Brent, maybe two quick ones for you, can you elaborate on Pass 2.0, what was the change that increased the number of trips enabled so dramatically? And then, just finally, what are you seeing on the demand side from consumers and customer behavior? Are you seeing any different trends coming out of the pandemic on this side of it or would you characterize it as more return to what you observed from the customer in 2019 and years prior? Thank you.
Web Neighbor: Hey Tom, it’s Web. I’ll start with the first on guidance. We put out a guidance of $350 million to $360 million for the coming year as you noted. And as we look back at the end of the year, we do see strengthening demand patterns and continued success across a number of the areas of the business. That said we are cognizant of the world that we live in, there have been some global disruptions that haven’t affected us in any notable way at all. We also are all feeling the easing of this latest round of the pandemic variants. So we put that guidance out there feeling really good at delivering 50% or more growth in that range for the coming year and hoping that we have reason to really outperform that and deliver even higher than in those numbers.
Brent Handler: Great, thanks Web. Just to talk about the innovation that took place last fall with Pass. When we launched Pass, the trips that were available for your subscription were only trips that when you took that trip the day you checked out, you could book your next trip. So for example, it’s March right now, that would make it un-feas – it wouldn’t make it feasible using your Pas. For example, if you wanted to next September to go to Napa for a weekend, because you’d be holding up your Pass for too long. You couldn’t book your next trip until you checked out and that wouldn’t make sense for a weekend next September. We changed the algorithm and we updated our – we updated our systems and product to be able to now allow all trips are priced in a number of Pass days. And a Pass day is defined as how long you have to wait to book your next trip. So if you wanted to book a trip that was, you would check out 15 days from today, wherever that might be, let’s say it was in New York at one of our pent houses that would cost 15 days. But you also now using Pass are able to go to the wine country, use 15 days of your Pass and book a trip when you [Technical Difficulty] next September. The result of that means you can’t make your next reservation for 15 days from today, but then you get to keep your reservation that you made in September. And just because of the way that the trips would lay out and the number of new opportunities and experiences that was able to provide our subscribers, it resulted in roughly a 10x increase and obviously made the product much more mainstream, much more valuable for people who are looking to get out and travel and experience the world with family and friends. On your second question, which is around the demand side, I have been doing this for little bit and I guess, roughly 20 years. We’ve not really seen demand like this in the past, and it feels like there is a demographic shift that’s taking place and how people think about where, they’re going to work from, this work from anywhere is a real thing. People, staying longer in accommodations is a real thing. Extended stay, particularly in our residential accommodations, is a real thing. And all of that, really those are, some really big tailwinds that we have going for us. You combine that with the service uncertainty that we offer, that there really isn’t issue of vacation roulette within Inspirato. What am I going to get? Who’s going to take care of me? How am I going to get my key? Is the place going to be nice? How am I going to get housekeeping? I’ve never heard of this company, the combination of all of those things; really build well for Inspirato and our platform. And really, I think we see that with the type of demand that we’re seeing for folks that want to be using our subscriptions.
Tom Champion: Thanks, Brent. Thanks, Web.
Operator: Thank you. And I’m not showing any further questions in the queue. I’ll turn it back over to Web Neighbor, CFO for any closer remarks.
Web Neighbor: Thank you. And thanks to everyone for joining our call today. This will conclude this session. Please do reach out to our Investor Relations website. If you didn’t get questions answered or would like any more information. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone have a great day.